Richard Roberts: Greetings, and welcome to the CVR Partners First Quarter 2025 Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Roberts, Vice President, Financial Planning and Analysis and Investor Relations. Thank you, sir. You may begin. Thank you, Christine. Good morning, everyone. We appreciate your participation in today's call. With me today are Mark Pytosh, our Chief Executive Officer, Dane Neumann, our Chief Financial Officer, and other members of management. Prior to discussing our 2025 first quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission, and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements whether as a result of new information, future events, or otherwise, except to the extent required by law. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2025 first quarter earnings release that we filed with the SEC for the period. We may also remind you that we are a variable distribution MLP. We will review our previously established reserves, current cash usage, evaluate future anticipated cash needs, and may reserve amounts for other future cash needs as determined by our general partner's board. As a result, our distributions, if any, will vary from quarter to quarter due to several factors, including but not limited to operating performance, fluctuations in the prices received for finished products, capital expenditures, and cash reserves deemed necessary or appropriate by the board of directors of our general partner. That said, I'll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Richard. Good morning, everyone, and thank you for joining us for today's call. To summarize, financial highlights for the first quarter of 2025 include net sales of $143 million, net income of $27 million, EBITDA of $53 million, and the Board of Directors declared a first-quarter distribution of $2.26 per common unit, which will be paid on May 19th to unitholders of record at the close of the market on May 12th. Our facilities ran well during the first quarter of 2025 with consolidated ammonia plant utilization of 101%. Combined ammonia production for the first quarter of 2025 was 216,000 gross tons, of which 64,000 net tons were available for sale, and UAN production was 348,000 tons. During the quarter, we sold approximately 336,000 tons of UAN at an average price of $256 per ton and approximately 60,000 tons of ammonia at an average price of $554 per ton. Relative to the first quarter of 2024, total production and sales volumes were higher with minimal downtime at either facility in the first quarter of this year. Ammonia prices increased 5% from the prior year period as a result of earlier shipments of volumes expected to be delivered in the second quarter, while UAN prices declined 4% due to some delayed shipments of 2024 fill season volumes. Overall, we had a strong start to 2025, and we believe the setup is favorable heading into the spring. Inventories of nitrogen fertilizer are generally tight across the system, and demand remains solid, which has been supportive of continued increases in pricing for the spring. Farmer economics also remain attractive, and with the favorable weather recently, we're looking forward to a strong planting season, which I will discuss further in my closing remarks. I will now turn the call over to Dane to discuss.
Dane Neumann: Thank you, Mark. For the first quarter of 2025, we reported net sales of $143 million and operating income of $35 million. Net income for the quarter was $27 million, or $2.56 per common unit, and EBITDA was $53 million. Relative to the first quarter of 2024, the increase in EBITDA was primarily due to a combination of higher UAN sales volumes and higher market prices for ammonia, along with lower pet coke feedstock costs. Direct operating expenses for the first quarter of 2025 were $54 million. Excluding inventory impacts, direct operating expenses increased by approximately $1 million relative to the first quarter of 2024, primarily due to higher natural gas and electricity costs. During the first quarter of 2025, we spent $6 million on capital projects, which was primarily maintenance capital. We estimate total capital spending for 2025 to be approximately $50 to $60 million, of which $40 to $45 million is expected to be maintenance capital. We anticipate a significant portion of the profit and gross capital spending planned for 2025 will be funded through cash reserves taken over the past two years. We ended the quarter with total liquidity of $172 million, which consisted of $122 million in cash and availability under the ABL facility of $50 million. Within our cash balance of $122 million, we have $30 million related to customer prepayments for the future delivery of product. In assessing our cash available for distribution, we generated EBITDA of $53 million and had net cash needs of $29 million for interest costs, maintenance CapEx, and other reserves. As a result, there was $24 million of cash available for distribution, and the board of directors of our general partner declared a distribution of $2.26 per common unit. Looking ahead to the second quarter of 2025, we estimate our ammonia utilization rate to be between 93% and 97% with some downtime planned at East Dubuque in the quarter. We expect direct operating expenses, excluding inventory impacts, to be between $57 million and $62 million, and total capital spending to be between $18 million and $22 million. With that, I will turn the call back over to Mark.
Mark Pytosh: Thanks, Dane. In summary, we had another strong quarter of operations with ammonia utilization over 100%, and pricing has continued to increase at the beginning of the year. With the spring planting season well underway, weather has been favorable. The USDA is estimating inventory carryout levels for corn for 2025 will be approximately 10% and 9% for soybeans. Carryout inventory levels are below the ten-year averages, which is helping to maintain attractive corn and soybean prices. With May corn prices at $4.75 per bushel and soybeans at $10.50, at these grain prices and with tighter supply-demand balances in fertilizer, we are experiencing strong demand for nitrogen fertilizer for spring application, and prices have increased since our February earnings call. The USDA is estimating that farmers will plant approximately 95 million acres of corn and approximately 83 million acres of soybeans in the spring of 2025. The unknown factor of these forecasts is the potential impact of tariffs on both fertilizer and grains. The U.S. is a net importer of nitrogen fertilizer, and extended tariffs on fertilizer would likely lead to higher domestic prices. Feedstocks for nitrogen fertilizer production are sourced domestically, so the risk of negative margin impacts is limited. However, countries such as China are likely to use their purchase of U.S. grains, primarily soybeans, as a negotiating tool with the U.S. This could impact U.S. farmer economics if their purchases are reduced for an extended period of time. The Trump administration has been publicly discussing support mechanisms for U.S. farmers that could mitigate some or all of the impact of tariff negotiations. Tariffs are having the greatest impact on the cost of capital equipment and chemicals. For capital equipment, vendors are raising prices, adding surcharges, and lengthening delivery schedules driven by higher global metals prices. In addition to global trade issues, geopolitical risks continue to represent a wild card for the nitrogen fertilizer industry given the significant production capacity residing in countries across the Middle East, North Africa, and Russia. The Trump administration has been making a number of efforts to negotiate a resolution to the conflicts, but nothing definitive has been announced at this point. We expect 2025 will likely be a continued period of higher than historical volatility in the business. Natural gas prices in Europe have declined about $3 per MMBtu to $12 since our last earnings call, while U.S. prices continue to range between $3 and $4.50 per MMBtu. Concerns around Europe's ability to replenish its natural gas inventories before the winter of 2025 persist given the supply constraints into Europe. The cost to produce ammonia in Europe remains durably at the high end of the global cost curve, which we expect will continue to keep the global supply-demand balance tight through 2025. We continue to believe Europe faces structural natural gas market issues that will likely remain in effect at least through 2026. At our Coffeyville facility, we're focused on the detailed design of the infrastructure required to utilize natural gas as an alternative feedstock to third-party pet coke. As a reminder, if this project is approved by the board and implemented, we would likely continue to utilize the pet coke supplied by the adjacent Coffeyville refinery, while the remainder of the Peachtreeville refinery flexed between natural gas and pet coke depending on prevailing prices. While we saw a decline in our pet coke pricing in the first quarter, we expect to see prices increase in the second quarter as a result of higher quarterly index adjustments on both the internal and external purchases. We also continue to execute certain debottlenecking projects at both plants that are expected to improve reliability and production rates. The goal of these projects is to support our target of operating our plants at utilization rates above 95% of nameplate capacity, excluding the impact of turnarounds. We're focused on water and electricity reliability and quality at both plants, and expansions of our DEF production and loadout capabilities among other projects. We are also planning to install a nitrous oxide abatement unit at the Coffeyville plant during our fall 2025 turnaround. After installation, we would have nitrous oxide abatement units on all four of our nitric acid plants, which aligns with our strategy of reducing the carbon footprint of our operations. The Board elected to continue reserving capital in the first quarter that we expect to spend over the next two to three years in support of these projects. The funds needed for the 2025 projects are coming from the reserves taken over the last first quarter continued to demonstrate the benefits of focusing on reliability and performance. In the quarter, we executed on all of the critical elements of our business plan, which include safely and reliably operating our plants with a keen focus on the health and safety of our employees, contractors, and communities. Prudently managing costs, being judicious with capital, maximizing our marketing and logistics capabilities, and targeting opportunities to reduce our carbon footprint. In closing, I would like to thank our employees for their excellent execution, safely achieving 101% ammonia utilization, and solid delivery on our marketing and logistics plans, resulting in a distribution of $2.26 per common unit for the first quarter. With that, we're ready to take any questions. Christine?
Operator: Thank you. We will now be conducting a question and answer session. One moment please while we poll for questions. Thank you. Our first question comes from the line of Rob McGuire with Granite Research. Please proceed with your question.
Rob McGuire: Hey. Good morning, Mark, Dane, and Richard.
Mark Pytosh: Good morning, Rob.
Rob McGuire: Good morning. Just a handful of questions here with regards to you talked about your utilization rates running between 93% and 97% in 2025 due to some downtime. Can you just discuss the step down from the first quarter a little more in-depth?
Mark Pytosh: Sure. The biggest driver there, Rob, is we're installing a new control system in the reformer at our East Dubuque facility, so we're going to have to take down several of the compressors to install the new control system. So it's not a performance issue with the plant, but it's an upgrade of the control system there, which is one of the reliability projects that we've been referring to the last several quarters on the plant. And that that's we expect that to help us with our reliability at the East Dubuque facility.
Rob McGuire: Thanks, Mark. And then look, you've put aside substantial reserves over the past year or so for potential growth projects. Can you just maybe give us the status on those projects or maybe more specifically just give us an idea of how much gross ammonia production will be expanded by in those projects?
Mark Pytosh: Sure. I won't get that specific, you know, exact percentages, but the two elements of our what we're calling an improvement in production is several of the projects are targeted at issues that generate downtime. And so a number of the projects will result in reduced downtime at the plant, which would increase production effectively by several percentage points. And so the projects we've been referring to are projects that we've seen as points of failure in the plants and they've taken the plants down over the life if you look over the last five years, it's, you know, several days here or there. And so by addressing those issues, we expect our downtime to go down and, therefore, that means our production will be up. And then we're also looking at potentially expanding the nameplate capacity at both facilities by again by I'm not going to quantify it yet, but by several percentage points. So, you know, when you combine all those efforts, you know, we should you know, you should see our nameplate and overall production go up over the next you'll call it two to three years.
Rob McGuire: I appreciate that. And then with regards to your project for Natgas or Petco, Coffeeville, can you give us a more refined cost estimate for that project?
Mark Pytosh: We're not done quite done with that. But, you know, we'll have a better number, you know, in the next few months, but it's going to be a double-digit millions kind of number. You know, not a high double digits, but a low double digits. But we did we're looking at a couple of different alternatives, and that's why it's moving around a little bit by a few million. But, you know, the exciting part there is we're pretty much concluded that we can introduce natural gas directly to the gasification complex with a minor modification to the configuration. So technically speaking, we're comfortable with feeding natural gas, and we're looking at some other opportunities for hydrogen, bringing more hydrogen in, and that would be a nameplate capacity addition, and that's we're waiting on, you know, understanding how that would work with the natural gas. And before we decide the final spend there. But the first leg of that we're completed with, which is we were studying whether, you know, what were the issues around introducing natural gas to the gasifier. So we're comfortable with that technically. And now it's really about in addition to natural gas and looking at additional sources of hydrogen from the refinery. They have excess hydrogen there, and we're trying to tap into that to potentially increase our production capacity.
Rob McGuire: Thanks, Mark. And then Mark, again, there's that $8 million category for future operating needs relating to the 2021 storm and then potential future cash needs relating to the nitrogen fertilizer seasonality in feedstock. I just I don't recall that category, but should we expect more additional reserves in that category going forward? Or can you elaborate a little on that?
Dane Neumann: Yeah. I'll take that, Rob. Really, it's around reserving for cash flows in the future primarily with the short term. We're doing the reserves for the growth projects, and we don't want that cash to be fungible with other cash. We want to make sure that's available when we get to spending on the projects. So, really, you look at kind of CapEx and what we've spent this year so far and you look at what the profile over the year looks like, want to set aside a little extra. To make sure that it's available when we get to the turnaround and the heavier CapEx. So I would expect that, you know, subject to board approval, we may see one or two of those with releases subsequent to that.
Rob McGuire: Thanks, Dane. And then you know, Mark, you mentioned in your comments about the UAN pricing. A little lower just due to delayed shipments. Should we look forward to more robust pricing in the second quarter of 2025?
Mark Pytosh: Yeah. The first quarter, the way I think about the first quarter pricing was really product we sold back in the fall to what you know, early winter. And price has been escalating really since December. And the second quarter is going to be reflective of closer to the current market. And so prices have escalated relatively significantly from December till now. And the second quarter is going to reflect those higher prices in UAN.
Rob McGuire: So just as you look forward to the normal summer fill relating discounting, do you think we'll see less I mean, it seems like there's a lot of tightness in inventory in the system right now. And it's still early. But do you envision that tightening, reducing normal fill related discounting?
Mark Pytosh: I think what we've experienced in the years that I've been here is when the system is relatively empty at the end of the planning year, June 30th, it bodes well for the fill, and I expect that the system in the industry here in the US to be relatively empty at June 30th. And so that should bode well for the fill pricing in the summer. And so you know, I think the prospects look very good there. This is we've always done well when the system is just drained in the spring. And with 95 million planted corn acres, we're going to draw a lot of nitrogen out of the system. And that has to be replenished. And so, yeah, that should bode well for the summer fill season for both ammonia and UAN this year.
Rob McGuire: I think we'll all look forward to that. That's great. And then urea has been rising. Ammonia has stayed relatively weak in the recent market. And Mark, I just wonder if you could kind of give us your perspective on that pricing divergence and is there anything that you could do in your business to kind of capture that gap between the two nitrogen products?
Mark Pytosh: You know, one of the issues that, you know, was hard to when you look at the publications is you look at a big gap between ammonia and urea and UAN. But the ammonia price that's always referred to is the Tampa ammonia contract, which I don't think of as a good representation of where the Midwest ammonia market is, which is where a lot of the ammonia is all the ag ammonia is going to be on the ground. And so the spreads actually widened off of that the Tampa price and not reflective. You know, most of our businesses their relationship at our plants between urea, UAN, and ammonia. Usually, they might get a little bit out of their traditional relationship for a short period of time, but they generally reflect what the market is. And I would tell you that our ammonia price in the spring, you know, we're largely done with the spring now. But that was not reflective of the Tampa price, but more reflective of where urea and UAN were. And so I don't put a lot of weighting in that. And, you know, very different marketplace. And urea and UAN have been very strong. There have been production issues in the US. There have been natural gas shortages in Trinidad and in the Middle East, North Africa. And so there's been a supply issue, and demand's been very strong with all the planted acreage. So yeah, the supply-demand balance in the US has been very tight. And that's, you know, led to you know, you could see the publications where the pricing is right now, and, you know, it's been a very tight market where supply's been somewhat constrained.
Rob McGuire: I appreciate that, Mark. And then with one last question. So you talked about the 95 million acres of corn that's expected to be planted, which has recently been an uptick in expectations. But now China is pulling back on buying corn. How do you think that decision is going to impact the American farmer if China continues to pull back on corn purchases?
Mark Pytosh: Well, the bigger issue for corn is Mexico, not China. Mexico is the big buyer of corn. And while that, you know, the trading relationship flared up early, there hasn't been as much conflict on corn with Mexico. It's been soybeans. China's a big buyer of soybeans. And what I would tell you and they have been purchasing less soybeans from the US, but Brazil's sort of taken up that. But, you know, kind of like when the Russia-Ukraine conflict started, the market has to readjust. And so the US soybeans are finding different markets that used to be serviced by Brazil. And so the market is changing around there a little bit, and maybe China's going to be less of a buyer, but that means other, you know, they're going to be buying from Brazil, but that'll create a hole for US soybean producers to sell into another market. So it may take us a few months for the market to adjust to that, but, you know, if you look at overall global inventories for soybeans and corn, they're still at the low end, you know, or below the ten-year average. And so there is still a need globally for soybeans and corn. It's just where the market will be. You know, the US may have to readjust the export market to where it's going, but there's definitely a need for it. So I'm not too worried about the need. It's just where it has to go.
Rob McGuire: Well, thank you for all of your insights. I appreciate it. And the detail on operations.
Mark Pytosh: Thank you, Rob.
Operator: Thank you. We have reached the end of the question and answer session.
Mark Pytosh: Thank you, Christine. Thanks for everybody for joining the call today, and we look forward to reviewing our second quarter results late in July. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.